Operator: Good day, everyone, and welcome to the LATAM Airlines Group First Consolidated Earnings Release Conference Call. Just a reminder, this conference is being recorded. LATAM Airlines Group earnings release for the period was distributed on Friday, August 10. If you have not received it, you can find it on our website, www.latamairlinesgroup.net, in the Investor Relations section. At this time, I would like to point out that statements regarding the company's business outlook and anticipated financial and operating results constitute forward-looking comments. These expectations are highly dependent on the economy, the airline industry and international markets. Therefore, they are subject to change. At this time, it is my pleasure to turn the call over to Mr. Alejandro de la Fuente, Chief Financial Officer of LATAM Airlines Group. Mr. de la Fuente, please begin.
Alejandro de la Fuente Goic: Thank you. Thank you very much for joining us today. This is Alejandro de la Fuente, and with me on the call are Jorge Vilches from our international passenger division; Andres Yalkip [ph] from our cargo business; Andrés del Valle, from our Corporate Finance Department; and our Investor Relation, Gisela Escobar, over the phone. In addition, this quarter, I would like to welcome especially Cláudia Sender, head of the domestic business operation, who will be able to provide insights, the development and operations in that market. We hope that you have all received the press release and have been able to access the webcast presentation on our website for a better understanding of our first consolidated results at LATAM Airlines Group. Please turn to Slide 3. As you know, we are very pleased that the merge with TAM was successfully completed on June 22. This quarter's income statement includes the full quarter of LAN results and the last 8 days of TAM results, between June 23 and June 30. For this quarter only, we will discuss the results for LAN and TAM separately, because the consolidation occur only at the end of the quarter. In the future, we will report all the results for LATAM Airlines Group. Operating income for LAN during the quarter reached $37 million ,while TAM had an operational loss for the last 8 days of $14 million. Net income for LAN during the quarter reached $5 million, while net income for TAM reached $0.6 million. TAM's net income was positively for the last 8 days of the quarter because, although the Brazilian currency depreciated, it show an appreciation of 3.2% in the last 8 days, generating a net fixed income of $57 million. Likewise, although fuel price were down for the quarter as a whole, fuel price increased during the last 8 days in a rate to mark-to-market gain of $27 million for TAM's fuel hedging position. Later, I will comment on the actions we are taking, to mitigate non-tax and noncash effect of FX and fuel price variation at TAM, which had a huge degree of volatility to quarterly results. In order to better understand the results for second quarter, we will discuss TAM and -- sorry, LAN and TAM's results separately for the last time. On Slide 4, you can see the main highlights of LAN's results for the second quarter 2012. LAN Airlines reported net income of $5 million, a decrease of 67% compared to the second quarter 2011. Operating margin reached 2.6%.  The decline as compared to last year is due to difficult environment in the cargo business, reflected in weaker traffic growth and a 6% decline in cargo revenue, continued investment in the development of the operations of LAN Columbia and the onetime operating charge of $7 million related to the successful completion of the collective bargaining process with certain unions, as well as a $9 million restructuring costs related to merge with TAM. Nevertheless, passenger demand remains strong in most markets, providing the basis for the 14% increase passenger revenues. This allow us to offset part of the negative impact. Turning to Slide 5. You can see more detail evaluation in our operating margin for the first quarter (sic) [second quarter] 2012. Yield showed a slight decline in both passenger and cargo business, in line with lower fuel surcharges. However, these were offset by strong load factors, especially in passenger operation. Fuel costs increased 9.1% compared to the first quarter (sic) [second quarter] of 2011. Although LAN's jet fuel price decreased 1.7% [ph], we recognized a $3 million fuel hedge loss as compared to a $21 million fuel hedge gain the same period last year. Margins were also impacted by the onetime charges related to the union negotiations and by the ongoing expenses related to the merge with TAM. Finally, this quarter, LAN Colombia recognized a $19.5 million operating loss as we advance in building up our domestic passenger operations at TAM. We are gradually changing the domestic fleet in Colombia, replacing the Boeing 737, 700s with LAN's A320 family aircraft. We ended the quarter with a fleet of 6 737s and 3 A320s, and we expect to add 2 more A320s by year end. With this, there is a growth in Colombia, should be between 12% and 14% each year. We have recognized onetime cost as a result of the return of a Boeing 737, the overhaul of the AIRES maintenance operations, the new reservation system and the brand change, among others. However, we are satisfied that the quality and reliability in these cases have improved significantly in line with LAN standards. We have all the efficiency indicators that have all efficiency indicate [ph]. LAN Colombia is now focused on positioning the LAN brand and improving its market presence with business customers. We expect good results in the second half of the year and breakeven in 2013. Taking a closer look at passenger operations on Slide 6. You can see detailed evolution of the business during the quarter. We continue to experience very solid traffic trends in most markets. Traffic grew 16%, while capacity increased 9.6%. Consequently, load factors reached 82.1%, very high level, especially considering that the second quarter has the weakest seasonally -- seasonality. Passenger yields declined 1.4%, in line with the 1.7% decline in LAN's jet fuel price during the quarter. Turning to Slide 7. LAN continues to expand passenger capacity throughout the network. Passenger capacity expansion this quarter was driven by growth in our domestic market. But routes within Chile continue to be a growth driver, as well as Colombian domestic operations, where capacity increased by over 17%. Domestic operations in Argentina show an important increase, mainly due to a lower comparison basis for second quarter of 2011, when demand was affected by the volcano eruption. Growth in the regional business is a result of the continued strengthening of LAN's hub in Lima, as well as commercial activities focused on stimulating demand for travel within South America. Overall, LAN's capacity expansions remain highly diversified that is now increased, thanks to the consolidation with TAM. This provides the group with significant flexibility to adjust capacity deployments with the demand conditions of different market. Please turn to Slide 8 for our full review of LAN's cargo operations. The cargo business continues to face a challenging environment, reflecting a slowdown in global freight momentum. Decline in cargo traffic was driven in particular by weaker imports into Latin America, especially Brazilian demand for manufacturers' goods. This was partially offset by a strong demand for commodities from South America, especially fresh cargo. In time, both regional and international competitors continue to be active in the region. LAN's cargo traffic decreased 2.2% during the second quarter, while capacity declined 3.2%. The company was able to adjust capacity price and fleet in line with lower demand. This led to a 68.9% load factors to 0.7 points increase over second quarter 2011. We expect the general market trends to continue during the second half of 2012. September and October LAN Cargo will take delivery of 2 new 777 freighters. This aircraft has a significant competitive advantage in terms of efficiencies, transporting double the capacity of the 767 with only 40% higher fuel consumption. With this aircraft, LAN Cargo plans to increase capacity on routes to Europe and on the denser routes in Latin America, replacing operations currently served by the Boeing 767 freighters. Please turn to Slide 9 to see the second quarter results for TAM. These figures are expressed in Brazilian reais. For the second quarter 2012, TAM reported an operating loss of BRL 284 million compared to the BRL 8.8 million gain second quarter 2011. Operating results were mainly impacted by 33% (sic) [23%] depreciation of the Brazilian real on costs denominated in U.S. dollars and lower revenues from Multiplus into the accounting changes implemented last quarter. TAM reported a net loss of BRL 928 million. TAM operating results include a foreign exchange loss of BRL 846 million and the negative mark-to-market of fuel hedging derivatives in the amount of BRL 94 million. One of the objectives of LATAM Airlines Group is to reduce the volatility of the financial results in TAM caused by external factors, such as foreign exchange rates and fuel price fluctuation. In order to mitigate the impact of exchange rate variations as a result of the imbalance of TAM's balance sheet accounts between assets denominated in reais and liability in U.S. dollar, we are evaluating alternatives to move the TAM aircraft to the LATAM balance sheet, which has the U.S. dollar as its functional currency. In addition, all future aircraft deliveries are to be financed by LATAM Airlines Group, even if the aircraft will be operated by TAM. The volatility caused by exchange rate variations on the cash flows of TAM are expected to be partially mitigated over time as a result of the natural hedge provided by the diversified nature of the cash flows of LATAM Airlines Group. In order to mitigate the impact of the mark-to-market TAM's fuel hedges, starting next quarter, LATAM will account for these derivative contracts under hedge accounts, therefore their mark-to-market will not be reflected on the consolidated income statement. Forward, all hedgings will be done at the consolidated level by LATAM Airlines Group. Please turn to Slide 10 to see the evolution of TAM's passenger operations during the quarter. Brazil domestic passenger revenues amounted to BRL 1.8 billion, 13.6% increase compared to second quarter of 2011. In line with our guidance, domestic passenger capacity decreased 1.2%, while revenues for ASK increased 15%, mainly driven by 14% increase in yield. We believe that the scenario of the domestic market in Brazil is undergoing an important structural change. Brazil has historically suffered from overcapacity and how -- and have low load factors compared to TAM. However, we believe that conditions are in place for carriers to sustain capacity ceiling and focus increasingly on profitability. Both main players have announced capacity reductions for this year. As you saw in our press release, we currently expect decreased capacity in Brazil by between 2% and 3% this year. We expect to continue to spend for the coming year. Our current fleet plan provides the flexibility to reduce capacity throughout freight deliveries or by allocating fleet by other LATAM business units, if necessary. Traffic figures for June and July 2012 are already showing the positive trends. Traffic increased over 10% during the past 2 months as compared to 2011, with significant load factors [indiscernible] increases. For July, load factor increased 8.5 points, reaching 81.4%, the highest among all Brazilian domestic operators for the month. Important to know that these increases are not a result of lower average yield, but of improved revenue management and price strategies. We are optimistic about opportunities in the Brazilian market and expect to see significant improvement in the short to medium term. International passenger revenues increased 12.8% compared to the second quarter of 2011. This was mainly driven by a 14% increase in yields. Now that the merge with TAM had been completed, the international passenger business of both companies have combined into a single business unit, which operates both the LAN and TAM brand. Please turn to Slide 11. As you know, we expect the synergies of the merge to reach between $600 million and $700 million before depreciation and taxes to be fully achieved 4 years after the close of this transaction. Between $170 million and $200 million may be achieved within the first 12 months. Approximately 40% of the total estimated synergies are expected to derive from revenue increases in international passenger business, 30% from revenue increases in cargo business and the remaining 40% from cost savings. We feel very confident regarding these synergies. It's also important to note that this does not include any changes to increase profitability of the domestic Brazilian market. Please turn to Slide 12 for an update on the synergy. For our international passenger operations, we have already established fare combinability between TAM and LAN, cross-selling of LAN and TAM flights and code shares of some international routes, such as Santiago-Orlando, Santiago-Madrid and Santiago-London. Cross selling will allow us to capture connectivity synergies by offering our customers a single network in a one-stop shop. In addition, passengers of both airlines have access to the benefits of each other's frequent flyer program, TAM Fidelidade and Lanpass. LAN Cargo is also advancing in achieving the expected synergy, taking advantage of the highly complementary nature of the operations with the cargo division of TAM. The extensive network of TAM passenger aircraft provides broad coverage with over 40 domestic destinations, while LAN's Brazilian cargo affiliate, ABSA, operates freighters that can provide increased capacity for denser routes. All domestic and international cargo operations in Brazil, including belly capacity and freighter aircraft, will be commercialized under the TAM Cargo brand, which is well positioned in the Brazilian market. For this purpose, ABSA's Boeing 737 freighters in the Brazilian markets will be painted with the TAM Cargo livery [ph]. The company is also investing, upgrading the cargo trucks in Brazil, building a new warehouse at Guarulhos Airport and enhanced cargo installations at Congonhas Airport. Cargo operations outside Brazil will continue to be commercialized under the LAN Cargo brand, which has strong brand recognition in the markets where it operates. TAM's international belly capacity to and from Brazil, previously commercialized mainly through third parties, is being commercialized by LAN Cargo and ABSA. LATAM Airlines Group estimates onetime cost from the merge and changes of approximately $200 million, which is -- most of which are expected to be incurred in the first 12 months after close. These cost do not include the transaction cost that have been incurred by TAM -- LATAM and TAM, separately, until now. It is the plan this cost amount to $23.4 million the last 18 months between 2011 and June 2012. Please turn to Slide 13. As you know, LATAM Airlines Group will have a highly diversified operation. In the passenger business, capacity will be diversified among local routes, as well as regional routes within South America. In addition, LATAM has domestic operations in 6 countries, Brazil, Chile, Peru, Colombia, Argentina and Ecuador. These markets represent approximately 90% of the regional -- region's traffic. Diversification allows for more stability in operation flow, since the business have different capabilities and react differently to market conditions. In addition, since airplanes are mobile assets, we'll benefit from flexibility we assign them to better perform in their market. Please go to Slide 14, the estimated ASK -- and ATK growth for 2012. We expect total passenger capacity for LATAM Airlines Group to grow between 3% and 4%, including both LAN and TAM operations. This includes growth of around 12% at LAN and a decline of 1% to 2% at TAM. TAM's domestic passenger ASKs in the Brazilian market are expected to decrease between 2% and 3% in 2012. LAN Cargo's expected cargo ATK growth 2012 is between 3% and 5%, mainly driven by the delivery of 2 Boeing 777 freights in the fourth quarter of 2012. This excludes TAM's belly capacity. We expect to provide the figure to TAM by the next quarter. In general, TAM should represent around 1/3 LATAM's total cargo capacity. Overall, we are optimistic about the opportunities for LATAM Airlines Group. Passenger demand continues to be strong in most of South America and on international routes. The Brazilian domestic market is operating with capacity discipline, providing the basis for improved profitability. The cargo business, although we face reduced demand on import routes into South America, demand for northbound routes remain strong. In addition, delivery of 2 777 freighters will increase efficiency on long haul cargo routes. The integration with TAM is proceeding smoothly, with important advances during the first week of joint operation. We remain very confident that the announced synergies are achievable, and that we will begin to see the positive results from the merge in the short term. On Slide 16, you can see the consolidated fuel hedge position for LATAM Airlines Group for the upcoming quarters. Since the closing of the transaction, hedging functions will be centralized for both LAN and TAM. As you can see from slide, we have hedged approximately 48% of the estimated fuel consumption for second half of 2012 and 9% for the estimated fuel consumption for 2013. On Slide 15, you can see our fleet plan for the coming years. Among the aircraft deliveries for the second half of this year, LATAM Airlines Group will receive the first 3 Boeing 787 Dreamliners, becoming one of the first airlines in the world to operate modern and efficient aircraft. During the second quarter of 2012, we successfully secured financing for all of LAN and TAM's 2012 aircraft deliveries. Almost all of this fleet is to be incorporated at LATAM Airline Group. Financing was done through a combination of Export Credit Agency support, including capital market issuances, sale and leaseback transactions and commercial financing including senior and junior debt. In July, we completed the first ever Ex-Im guaranteed prefunded transaction in the issuance of $299 million to finance all LAN's Boeing 767s. In August, we completed another similar prefunded transaction for $288 million to finance 2 TAM's Boeing 777. Both these offerings were extremely successful with coupons of 1.9% and 1.83%. Unfortunately, as you know, as a result of the merge, our international credit rating was lowered to BBB+ -- I'm sorry, to BB+ below investment grade. However, the solid balance sheet and healthy financial position continues to be, as today, a priority for LATAM, and we are working to recover our investment-grade rating soon. We have already committed to a reduction of our dividend policy of 30% until we have able to recover our cash flow generation. We are confident that we will be able to show rating agencies and the market in general that we can deliver on the expected synergies and will recover our high margin short term. This concludes this presentation for today. Now we will be pleased to answer your question.
Operator: [Operator Instructions]  Your first question comes from the line of Michael Linenberg with Deutsche Bank.
Richa Talwar: This is actually Richa Talwar filling in for Mike. Just a few questions here. First off, on your cargo operation. In light of the 2 777 freighters you're taking delivery of, I was just wondering how quickly you can flex capacity down if cargo trends don't improve in the second half of the year.
Alejandro de la Fuente Goic: Okay. Andrés?
Andrés del Valle: Okay. Since we're getting 2  777 late in the third quarter and in the fourth, those freighters will be utilized mainly to replace some capacity on one of them,some HDMI [ph] capacity. So we're getting the benefit of a much lower cost base on that aircraft. And the second one will be used to grow capacity.  Now if need be, could be capacity by reaching [ph] utilization of our 737 freighters, which are -- I mean, have a higher cost, and we could do that fairly easily. We don't anticipate that being the case as improved capacity of the 777 should enable us to fully utilize the additional capacity.
Richa Talwar: Okay. My second question is just on capacity guidance in general. Anything you can say on 2013 capacity plans at this point? Or how we should -- anything you can say about how we should think about growth for the combined operation and incorporate that into our modeling would be very helpful.
Alejandro de la Fuente Goic: So we have just done guidance for 2012, not 2013, sorry.
Richa Talwar: Okay, fair enough. And then if I could just squeeze in one more. Roughly how much of your synergy targets will be realized by the changes you've made so far, such as the code sharing and the cross-selling and other things that you walked through? Are there any numbers you can put on that?
Alejandro de la Fuente Goic: No, no. As I mentioned, we expect to have synergy between $170 million and $200 million for the next 12 months. But -- and we are very confident that we can achieve this expected synergies.
Jorge Vilches: Alejandro, this is Jorge Viches from long-haul business. I may complement what Alejandro is saying. What we're seeing so far, even though we still don't have an exact number on synergies achieved, we're seeing that, especially on items as cross-selling, the results are bigger than we expected initially. First, we have reached a good cross-sale base earlier than we thought -- earlier than we expected. And the first results in cross-selling and passengers using the code shares is significantly bigger than we expected initially.
Operator: Your next question comes from the line of Savi Syth with Raymond James.
Savanthi Syth: On the Colombia operations, could you provide kind of more color on how it's progressing and if you still expect to break even in the second half?
Alejandro de la Fuente Goic: Well, on the Colombia operations, as explained, we have on the second quarter an impact cost of around $19 million to $20 million. Most of them because of the change of the fleet. We are still having lots of cost-related figures to enhance and to replace the old AIRES fleet, especially in term of maintenance of systems to them. But operationally, we are expected to finalize this year with the regulation and to -- possibly for 2012. By now, we have most of the income [ph] that we have on Colombia are expected to onetime there.
Savanthi Syth: Okay. So the costs that you're seeing are onetime and shouldn't be repeating next period? Is that what you were saying?
Alejandro de la Fuente Goic: Yes, yes. Yes, we should be marginally profitable by the middle of this year. But looking at the year as a whole, for 2013, we should be breakeven next year, not this year.
Savanthi Syth: Okay, got it. And just a follow-up question on Colombia. Just what's the competitive response there been more recently?
Alejandro de la Fuente Goic: Code share?
Savanthi Syth: How is the competitive environment in Colombia?
Gisela Escobar: Sorry, this is Gisela. And I think that the situation, we've seen a competitive -- basically, I mean, our main competitor there is the flagship carrier in Colombia, and it has -- and is very well positioned. AIRES was a brand that was not very well positioned, especially with the business sort of corporate travel which are the higher-yielding customers. So I think our challenge now is to try to position ourselves better with those passengers via a strong product and via better relationships with the travel agencies.
Operator: Your next question comes from the line of Eduardo Couto with Goldman Sachs.
Eduardo Couto: I have 2 questions. The first one on capacity and the second one on the credit rating. First, on the capacity side, guys, I mean, I look to your fleet growth for the next 2 years, it's growing around 15% of the size of the fleet. So my question is, can you give us at least a rough idea if this new capacity is going to be added in Brazil or if it's going to be regional or if it's going to be long haul? Just for us to understand a little bit what are the expectations for additional capacity of LATAM in the next 2 years. That's the first question.
Unknown Executive: I think as a whole, looking at the passenger capacity, all the fleet which is coming in, and you should also be considering that TAM has a lot of -- I mean, aircraft at disposals, it's mainly addressing the regional markets and long-haul markets and some domestic markets, except Brazil. We expect to continue with the discipline that we are seeing now in Brazil. So the growth could be largely devoted to, again, regional traffic, TAM domestic market and long-haul flight.
Eduardo Couto: Okay, that's clear.
Jorge Vilches: And if I could make a comment here -- Jorge Vilches. The long-haul extra capacity in Brazil is going to focus -- is going to start by the end of this year.  We're receiving new 777s, 4 777s this year. And that's going to be focused on the most profitable routes that TAM has today, which are focused on the U.S. market. So that's going to be a significant increase in needed capacity for these very good markets. It will start by this last quarter of 2012 and is going to continue on 2013. That's a big chunk of the extra capacity.
Eduardo Couto: Okay. No, it's very clear, guys. And just a second question regarding the credit ratings. Now you guys just lost the BBB. So my point is would you consider an equity offer to recover this BBB if this is necessary, or you think this is not the case and you can recover your investment grade without doing -- or without raising any capital? That's the question.
Unknown Executive: I think going forward, we will see a rapid deleveraging process of the company as the new fleet and synergies are captured. Of course, an equity offering is always -- could be valid, but there is nothing concrete on that topic yet. So going forward, we expect that we have -- that we will try to regain that investment-grade level maybe in a couple of quarters' time and maybe in one year. But the equity offering is -- hasn't been decided yet.
Alejandro de la Fuente Goic: Not for this year. We are -- we could consider with the offerings that these -- of the second half of next year, if needed.
Eduardo Couto: Okay. No, I was just asking that because of the strong CapEx that you also have had. So I was just wondering if you're going to be able to fund off all these CapEx and also recover the BBB. But the answer is very clear.
Operator: Your next question comes from the line of Nic Sebrell with Morgan Stanley.
Nicolai Sebrell: Two questions for me. First, if you could expand a little bit on what is in other costs that you identified in Slide 5. I was wondering if -- that seems to be separate from the merger costs, from the union negotiations, and I was wondering how much of that might be recurring and how much is something that's just really onetime in nature. The second question has to do with characterizing demand. If you could talk about the strongest markets that you're covering in your different regions, the weakest ones or alternatively, which ones you think has the most room to improve. That will be helpful.
Unknown Executive: Yes. On other cost, the 1.3 points integration here on Slide #5, it is basically LATAM transaction cost for the merge. We have also the union negotiations, $7.1 million, and then we have LAN Colombia, also $19.5 million, and then $3 million of fuel hedge negative.
Nicolai Sebrell: Okay, hold on. Hold on because some of the things you had talked about sounded like, what's the word, integration costs or merger costs. And wouldn't that be in the CB and LATAM costs category? Because the other looks separate from that.
Gisela Escobar: Yes. The other -- yes. The other is basically the impact of Colombia.
Jorge Vilches: Okay, got it. Now it makes sense. So as you reach breakeven, then that should shrink?
Gisela Escobar: Yes.
Unknown Executive: And that should be consider as a one-off rather than permanent.
Nicolai Sebrell: Okay, great. And then regarding various regions' strength, competitive dynamics, things like that?
Unknown Executive: Well, actually, in terms of the international business, we see strong markets throughout our network, and you can see that on our load factors. Eventually, we would expect a decrease in the European markets, but still, we haven't seen that yet. Our load factors are good, even though we don't have the same yields that we have in other markets, as the North American market. And this last one is where we're going to mostly concentrate most of our increase in capacity for the next months and 2013, not only on the -- on Brazil, but also on the LAN network. We're going to have increase in this last quarter, in capacity in our Lima hub connecting to the U.S. and disconnected fitted with South American passengers. And those are the ones that we see -- that are still pretty strong, our southbound and northbound traffic to the U.S. That's where we're going to concentrate our capacity.
Nicolai Sebrell: Okay. So north-south long haul, strong; European long-haul, respectable, although not as strong as the U.S. Brazil, obviously you're cutting back, but maybe not due to [indiscernible] because that's more of a capacity issue still. And how about if you were to talk about regional operations, Argentina to Chile or intra-Spanish-speaking regional?
Unknown Executive: Yes. That's still pretty strong. We're concentrating, and we're doing a redirection of traffics to feed our main hubs now with TAM. We're interconnecting our international operations in order to bring more passengers from the short haul to the long haul, and that's still strong. We're going to do some changes in our Lima hub to strengthen it furthermore in the next year, and we're going to bring some more passengers from Argentina, Peru and Chile to our Rio hub to strengthen the long-haul operation there. But regarding our regional intra-South American operations are still pretty strong.
Nicolai Sebrell: Okay, makes sense. That leads into my last question we just talked about, redirecting capacity and traffic and whatnot. How easy is it to move planes from the countries, the markets where specific registration is required? For example, I know in some of your markets, you have to register the plane locally. You can't have it registered in other countries to operate by an airline there. Is it -- assuming the LATAM Group level owns the plane and is leasing it to the subsidiary, how easy it is to change registration? Is it a month process? Is it a year process?
Unknown Executive: It depends with the countries that you're talking about. Brazil needs a specific Brazilian registration. So it could be -- or we have, say, idle our Brazilian market, those can be moved to Chile using a Chilean registration. Typically, even if the aircraft is financed by a third party, that process can take anything between 45 and 60 days. That's typical. But that's something that we do on a normal basis from here to there and back and forth, so it's not a big issue. We have a lot of intra-group flexibility. We also have what we call a short-term SAP leases with sort of a interchange. So depending the country, the answer is more specific but we don't see that as being a hurdle.
Operator: Your next question comes from the line of Stephen Trent with Citi.
Stephen Trent: A couple of my questions have already been answered, but just a couple of follow-ups here. In terms of your longer-term thinking, any update, idea with respect to your thoughts on global alliance membership? Is it something that you think will -- we won't hear about for another 18-some-odd months, or do you see perhaps some modified timetable on that as you discuss that matter with your alliance partners?
Alejandro de la Fuente Goic: No, Steve. No, this is not something that we will need to clarify, but we have until the end of the year to think the cost and evaluate alliance.
Stephen Trent: Okay. And any update with respect to your broad thinking there, or should we assume that you're considering all the strategic options that you were previously considering?
Unknown Executive: No. I think all the different options are being evaluated, but there are no definition has been done yet. We expect to make the decision on this the next coming months.
Stephen Trent: Okay, great. And just one more -- one last question. I realize that LAN and TAM had very little overlap in terms of their passenger networks. And in terms of the slots you had to relinquish, Brazil-Chile, Brazil-Argentina and then the fifth freedom stuff via Lima, can you tell us sort of broadly what's the competitive reaction in those particular areas, or has it been very quiet? Or have you seen smaller or larger competitors maybe trying to lay on some capacity on those?
Gisela Escobar: Steve, this is Gisela. We -- well, the route where we had to relinquish slots was between São Paulo and Santiago. Both the Chilean and the Brazilian antitrust authority established a mechanism by which we have to offer those slots every 5 years. That's currently in place. And basically, we -- it's currently in place, but we haven't had anyone requesting the slots yet. Basically, the people who would request it are other Chilean or Brazilian airlines who are able to do -- who will be able to fly that route, and we haven't had any interests yet.
Operator: Your next question comes from the line of Pedro Balcao with Santander.
Pedro Balcao: This is Pedro Balcao from Santander here. I have a couple of questions. My first one will be if you can shed some light on what are your plans for Multiplus, and whether could you use it or not to help regain the investment grade? My second one would be, how do you expect TAM to evolve over the second half and, specifically, if you do expect it to breakeven at the EBIT level in the second half? And finally, sorry, third one, it's just that taking into account how difficult the cargo environment seems to be, if you keep the 20% -- I mean, 20% of your synergies target is actually cargo revenues. Do you think it's still feasible or not?
Alejandro de la Fuente Goic: So in terms of Multiplus, we're haven't evaluate right now, a secondary offering at Multiplus level. This is something that we need to evaluate, maybe in the future, but it's not something completed right now. And...
Unknown Executive: In terms of cargo synergies, we are moving ahead as planned on them. Based on the run rate that we targeted, we believe it is achievable despite the markets tough state, maybe because we have a certain period of time to get to -- of where we are -- we have targeted. So we expect them to be -- to deliver the $120 million target synergy, yes.
Gisela Escobar: And for the Brazilian market, I think there are a few things that we have to keep in mind for the second semester. The first thing is that we expect to continue with the capacity discipline, and this will give us room for operating in a much higher load factor levels than historically we've operated. So we're expecting to see something close to the mid- and high-70% load factor levels for the second semester. I think there are a few other points that are worth highlighting. First, I think the business unit structure has helped us focus on the profitability of the market, not only on the market share and capacity growth and also the search for efficiencies and cost reductions for these markets are a key for regaining the profitability that we expect for the -- especially for the domestic markets.
Unknown Executive: Also on the international market based in Brazil, we see a very interesting opportunity in terms of revenue increase coming from yield by redesigning the fare structures in the international markets. We see very important opportunity here. We're currently redesigning most of the fare structures, not only in terms of prices but also in terms of regulations. And we're very confident that this is going to give us an important revenue increase, not affecting load factors already in this second semester.
Pedro Balcao: Okay. So I understand that the answer is clearly a yes regarding  the EBIT margin of TAM, yes?
Gisela Escobar: Yes.
Operator: Your next question comes from the line of Brian Foster with CreditSights.
Brian Foster: I just have one question. Have you guys made a decision as to whether the TAM's debt will be guaranteed by the parent company?
Unknown Executive: I'm sorry. We missed the question. Could you repeat, please?
Brian Foster: . Sure. Have you guys made the decision as to whether the TAM's debt  will be guaranteed by the parent?
Unknown Executive: No decision.
Operator: Your next question comes from the line of Martin Perez with Santander.
Martin Perez Peña: My question is regarding the synergies plan. What risks do you see for the execution of the plan, especially in the next 12 to 24 months probably?
Alejandro de la Fuente Goic: No. We haven't seen any strategical increase. Everything is on track. Since -- as we mentioned at the beginning, we expect to have this $700 million fully achieved in the first 4 years. So we haven't seen any strategically can delay, that can reduce. On the contrary, there are still more cost synergy everyday.
Operator: your next question comes from the line of Bianca Saochao [ph] with GNB. And at this time, I am sure we have no further questions. I would now like to turn the call back over to Mr. Alejandro de la Fuente for any closing remarks.
Alejandro de la Fuente Goic: Okay. Thank you for joining us today. Please feel free to contact our Investor Relations department if you have any additional questions. We look forward to speaking with you again soon. Thank you very much, and goodbye.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.